Operator: Greetings and welcome to the Zeta First Quarter 2023 Earnings Conference Call. At this time all participants are in listen-only mode. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce you your host Scott Schmitz, Senior Vice President of Investor Relations. Thank you. You may begin. 
Scott Schmitz: Thank you, operator. Hello, everyone. And thank you for joining us for Zeta’s first quarter 2023 conference call. Today’s presentation and earnings release are available on Zeta’s Investor Relations website at investors.zetaglobal.com, where you will also find links to our SEC filings, along with other information about Zeta. Joining me on the call today are David Steinberg, Zeta’s Co-Founder, Chairman and Chief Executive Officer; and Chris Greiner, Zeta’s Chief Financial Officer. Before we begin, I’d like to remind everyone that statements made on this call, as well as in the presentation and earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives and other future events and developments, including statements about the market potential of our products, potential competition and revenues of our products and our goals and strategies. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in the company’s earnings release and other filings with the SEC and speak only as of today’s date. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in managing the business and believe they provide useful information for our investors. Reconciliations of the non-GAAP measures to the corresponding GAAP measures where appropriate can be found in the earnings presentation available on our website, as well as our earnings release and our filings with the SEC. With that, I will now turn the call over to David.
David Steinberg: Thank you, Scott. Good afternoon, everyone, and considering the date May the fourth  be with you. 2023 is off to a strong start. We continue to execute through a volatile macro backdrop, producing our seventh consecutive quarter ahead of consensus and raising outlook. In the first quarter of 2023 we delivered revenue of $158 million, up 25% year-over-year, with adjusted EBITDA of $24 million, up 28% year-over-year. Our adjusted EBITDA margin of 15.3% expanded 40 basis points year-over-year. Q1 was another proof point in our belief that the market is moving in Zeta's direction. The proliferation of artificial intelligence and data driven insights, combined with the need to do more with less fits squarely within our sweet spot. Our execution against this enormous opportunity continues to drive strong new customer growth. In this volatile market, we continue to see organizations more willing to take risks with new partners and adopt new solutions in order to drive better outcomes. This has resulted in our new scaled customer count growing twice as fast as our Zeta 2025 model.  Along these lines, I would like to start out by focusing on three topics that outline how we have achieved and what we believe is a long term sustainable advantage in the marketplace. First, since our founding, we have held steadfast to our vision to reduce marketing complexity, by eliminating point solutions making data actionable, and realizing the promise of more accountability and ROI driven marketing. Second, these guiding principles are bodied in our Zeta marketing platform, or ZMP, which brings together identity, intelligence and activation into a single differentiated platform that delivers better experiences for consumers and better results for brands. And third, the market embrace of our strategy during a time of technological change is evident through multiple Fortune 100 wins. In the first quarter, we signed one of our largest contracts ever as a company, which I will outline in detail. But first, let me expand on our vision and our platform differentiation.  Over the last 15 years, we have invested and innovated to assemble one of the largest proprietary opt in databases filed more than 100 patents tied to machine learning, AI and other cutting edge technologies and developed a next generation marketing cloud to help the world's most sophisticated marketers acquire, grow and retain customers at a lower cost than they can without our data and our software. These early investments and innovations have strengthened our competitive position as the marketing technology sector continues to evolve. Our flexible and scalable data layer enhances and extends the investments that enterprises have made in modern data warehouses, such as snowflake, and has a robust identity resolution capability built in. This makes it easier for marketers to target the right customers at the right time. Our modern intelligence layer leverages our proprietary AI and ingest trillions of behavioral signals to turn insights into action and our activation layer deliver superior omni-channel reach and deterministic measurement by unifying around a single view of the customer and delivering more individualized experiences. By consolidating these elements into one single platform, the ZMP increases accountability reduces, complexity eliminates waste, and ultimately produces better outcomes at lower costs for enterprises versus competing solutions. Let me give you a detailed example. This past quarter we signed a multiyear eight figure deal with one of the largest worldwide retailers to become their marketing cloud. The requirements were very complex. First, they required a modern architecture that could scale globally across channels. Second, they needed localized expertise because decision making was decentralized through regional representatives. Third, they required IT buy in with the ability to leverage cloud partners such as Snowflake with optimized integration and data sharing capabilities. And fourth, they needed a solution that aligned with their mission to efficiently acquire new customers and grow their existing relationships while remaining laser focused on measurable ROI. The RFP process started with over 10 vendors. All of the legacy marketing clouds we typically see were dismissed in the early rounds, as their platforms did not meet the modern architecture and functionality requirements. And many of the smaller upstarts lacked the scale and enterprise sophistication. The ZMP stood out as a combined next generation technology with enterprise great assets and know-how to win during the transition to a new era of marketing technology. Ultimately, we won because we brought a many to one solution to this retailer. There were many problems they were trying to solve and many decision makers involved. And we were the only one who came to them with an all-in-one solution. In a world of uncertainty, we provided accountability, and delivered a compelling platform that both lowered the cost of ownership, and laid a foundation for predictable, profitable and scalable growth. In a world accelerating towards digital transformation, and Artificial Intelligence, we provided a platform with these foundational elements embedded in the core of our platform. In a world of doing more with less, we were able to demonstrate our ability to provide better outcomes. We believe no other company had the ability to combine a marketing cloud with real time intent signals like Zeta and activate to them in real time. We brought a unique ability to identify unknown customers and unlock hidden opportunities that they otherwise would not have known about. Our data and our artificial intelligence create a moat around our business. And that moat is only widening, with the new generative AI capabilities embedded in the ZMP announced earlier this week from Zeta Labs. As with everything we do, we are approaching generative AI as part of our vision to make sophisticated marketing simple, with the goal to solve our client's biggest business challenges and deliver better results on their marketing investments. Zeta's generative AI agents powered by ZOE, or Zeta Opportunity Engine, which is evolved from chatbot Zeta technology will behave, experience and learn like humans within the ZMP, putting the power of AI directly into marketers hands. With a simple question ZOE will answer critical marketing questions such as who should I target? Which channels are most profitable for me? What are the most common journeys my customers take? We believe our generative AI will not only improve what marketers currently do, but also generate new ideas and strategies with speed and scale so they can deliver higher ROI and accelerate results. There was a lot more to come as we're incredibly focused on AI as we have been for many years. In summary, we are off to a strong start in 2023 as we continue to capitalize on the need for more efficient and effective marketing technology. As always, I would like to sincerely thank our customers, our partners, teams Zeta and all of our shareholders for the ongoing support of our vision. Now, let me turn it over to our young Jedi Chris to discuss our results in greater detail. Chris? 
Chris Greiner: Thank you, David. And good afternoon, everyone. In the words of the great Yoda, do or do not. There is no try. I'll spare my voice impersonation, but in all seriousness in the first quarter, Zeta did a lot. I'll cover them in three broad categories. First, I'll share what led to our seventh consecutive quarter of beat and race execution, and how we're navigating a challenging macro backdrop. Second, I'll detail what's driving to continued growth in our sales pipeline in RFPs. We'll also cover our strong sales productivity metrics. Third, a walk through our KPIs and how they continue to power revenue and adjusted EBITDA growth rates above what is required to deliver the Zeta 2025 long term model of at least 1 billion in revenue, 200 million in adjusted EBITDA and 110 million in free cash flow. And I'll wrap up with the details of our 10 million increase to full year revenue guidance and the operating leverage contributing to more than a 2 million increase in adjusted EBITDA guidance to 120 million.  Okay with that, let's dive in. Our results illustrate the importance of having a diverse customer set and a multi channel use case revenue model. These characteristics certainly contributed to our execution in a more challenging macro environment. To illustrate this, 9 out of our 10 largest industry verticals grew double digits year-to-year, resulting in first quarter revenue of 158 million, up 25% year-to-year. results like this have been consistent from Zeta with eight out of the last nine quarters delivering revenue growth in excess of 20% while simultaneously expanding adjusted EBITDA margins year-over-year for nine straight quarters; that's a track record very hard to replicate, especially in today's environment. This dual focus on near and long term execution is enabling Zeta to stay ahead of our 2025 long term plan for revenue, profit and cash and staying ahead is underpinned by continuing to execute on our KPIs which in the first quarter, once again powered our growth. Total scaled customer count of 411 was up eight from last quarter and up 52 versus last year representing 14% year-to-year growth, two times the rate of growth required to achieve our Zeta 2025 model of at least 500 skilled customers. The drivers behind the skilled customer increases were encouraging, especially considering seasonality, where the first quarter is oftentimes the most challenging for the mark tech ecosystem. For context the eight scaled customers we added this quarter were more than twice the Q4 to Q1 average sequential change over the last two years. Of the eighth scaled customer increase quarter-to-quarter six were new to Zeta and two were existing customers that became scaled. And we continue to see industries under the most economic pressure choose Zeta. In the super scaled cohort alone, which increased seven quarter-to-quarter, we gained customers and consumer retail advertising and marketing, travel and hospitality and technology industries. We're growing customer count and customer spend on a platform.  The first quarter was the 11th consecutive quarter in which scaled customer ARPU grew double digits up 10% year-to-year from first quarter 2022. Our super scaled cohort once again led the way growing ARPU 18% year-to-year with super scaled revenue up 31% year-to-year. At the same time, the pipeline for future super skilled customers those in the 100,000 to 1 million cohort saw strong year-to-year customer count growth of 16%. This was the second quarter in a row where customer count grew 16%. Increases from this cohort driven by pilots can grow to more than 700,000 in the first 12 months as seen on slide 11 of our supplemental earnings presentation, making these customers fertile ground for our farmers. We are also benefiting from an increasing number of connection points added to this ZMP by our product team as shown through the lens of multi channel scaled customer adoption. This is defined by scaled customers using three or more channels, which in the first quarter grew year-over-year by 41% now representing more than 25% of Zeta scaled customers. This is further exemplified in the 100,000 to 1 million and greater than 1 million cohort where both groups saw year -to-year increases in average channels per customer. Shifting to mix and margin. We saw good cost of revenue percentage dynamics in 1Q even with direct mix up against prior year compares that were very strong. A couple of drivers worth noting here. First can be the case with newly added scaled customers, and new buyers like agencies for example, platform usage can start with integrated channels. When this occurs, our track record with these customers shows an evolution to higher direct mix over time. One such example with an existing agency, who is now our super skilled customer shifted its direct mix over a two year period from 7% of revenue to 76% of revenue effectively on par with our corporate average. In the first quarter, we got very strong cost of revenue and leverage dynamics within our direct channels, we absorbed the higher cost of revenue profile of these integrated platform campaigns. In first quarter 2023, our direct revenue mix was 71% and we realized 34.5% the cost of revenue up 140 basis points year-to-year and better by 320 basis points quarter-to-quarter. Just like we communicated in our February conference call, we are not counting on year-to-year reductions in cost of revenue percentage to achieve our 2023 adjusted EBITDA margin expansion guidance of 140 basis points. We developed our guidance in this manner so that if we do better than it is incremental upside to our outlook. From a modeling perspective, we want to continue to be conservative by assuming a similar cost of revenue profile for the remainder of 2023 as we saw in the second half of 2022 which anticipates continued strong new customer additions and more inroads with new buyers like large agencies. We are comfortable with this strategy, because they're generating strong operating expense unit economics, contributing to another quarter of year-over-year adjusted EBITDA margin expansion or nine straight. Excluding stock based compensation, each of our expense to revenue ratios, sales and marketing, G&A and R&D were better year-to-year. Sales and marketing was down 40 basis points, G&A down 60 basis points and R&D down 120 basis points. This led to an adjusted EBITDA on the first quarter of 24 million up 28% year-to-year with adjusted EBITDA margin of 15.3% up 40 basis points year-to-year. On a GAAP basis our first quarter net loss was 57 million, which includes 64 million of stock based compensation. Excluding the accelerated expensing related to our IPO, stock based compensation would have been 22 months. And we continue to drive strong cash generation. Cash flow from operating activities was 20 million, with free cash flow of 10 million acquitting to 42% of adjusted EBITDA. Our success in adding new scaled customers two times faster than our Zeta 2025 model and doing so at a more efficient sales and marketing expense to revenue ratio speaks to the strong sales productivity we're seeing. This is a good segue to my second topic, pipeline growth and sales productivity. We ended the quarter with 130 quota carriers up from 123 at the end of 2022. And as I've always emphasized, this is about quality, not simply quantity. To that end, new sales hires are averaging over 10 years of experience, bringing with them new customer relationships to Zeta. Our optimism and where we're taking our sales organization is rooted in three primary areas. One, the continued growth in the sales pipeline and RFP volumes. Two, the progression of the pipeline, and the performance of our more than 12 month tenured sellers now accounting for almost two thirds of our sales team. And three, our win rates highlighted by the increasing size and duration of deals, and the caliber of enterprises selecting Zeta over the competition. We have some color on each. On the heels of a record pipeline, I 4Q we increase pipeline again in the first quarter growing at a rate two times our quota carrier headcount a metric we measure closely. From an RFP perspective, the first quarter could be seasonally slow. However, that was certainly not the case in 2023. Q1 was our second highest RFP quarter ever. And the eight figure win David mentioned was not a one off. The deals in our pipeline today are bigger and more complex as any time in our history, as Zeta becomes not only an essential strategic partner for their marketing, but also for our customers enterprise intelligence initiatives. Having a great sales pipeline is only meaningful if it's comprised of deals that can progress to closure. Again, back to my point about quality over quantity. The velocity that we move opportunities from the early to the late stage is something we measure rigorously as evidenced by the value of late stage pipeline deals being up over 50% year-to-year. This not only bodes well for sales visibility, but also momentum going into the second half of 2023 and 2024. But of course, this is only relevant if you're winning and yielding the right unit economics along the way. We're experiencing both. First quarter RFP win rates exceeded even our overall win rates. And our experienced sellers, those with Zeta for more than 12 months are responsible for 86% of deals one. These are the class of sellers who completed an initial wave of training, and have made their way through certification programs. Our history with this cohort shows a flywheel effect with great employee retention rates and the competence gained with each deal closed leading to more success as their time with Zeta extends which brings me to my third and final topic 2023 guidance and Zeta 2025 with the context of what is driving our execution out of the gate, the expansion and the visibility we have into our sales pipeline and strong productivity of our sellers we're raising second quarter and full year 2023 revenue and adjusted EBITDA guidance. For the second quarter of 2023 we are increasing the midpoint of revenue guidance by 2 million to 162 million, up 18% year-to-year, a similar starting point as Q1. We're also increasing the midpoint of our second quarter adjusted EBITDA guidance by 900,000 to 24.5 million, up 32% year-to-year, which represents 15.1% margin at the midpoint of guidance, or 160 basis points of year-to-year expansion. This is an acceleration from the 40 basis points of expansion generated in the first quarter. The combination of our first quarter upside and higher second quarter outlook raises the midpoint of our full year 2023 revenue guidance by 10 million to 701 million representing 19% growth year-over-year. On an adjusted EBITDA a basis we're increasing the midpoint of our full year 2023 guidance to 119.7 million, up 30% year-to-year. At the midpoint of our increased full year guidance, adjusted EBITDA margins, would expand 140 basis points year-to-year to 17%. Lastly, we're providing the quarterly cadence of third and fourth quarter revenue and adjusted EBITDA on slide 14 in the earnings supplemental deck. As I wrap up my prepared remarks, I want to leave you with three final thoughts. First, zooming in, we continue to be a team delivering on our commitments, and more. Zooming out our top and bottom line growth rates continue to track ahead of the compound annual growth rates required to deliver our Zeta 2025 long term plan. There simply are not a lot of businesses with sustained 20% plus growth and expanding adjusted EBITDA and free cash flow margins in the technology universe today. We're really proud of that, and it's a big motivator for the team. And third, while we spend a lot of time on near and long term goals, Zeta doesn't end in 2025 far from it, as shown in our wins and the opportunities we're pursuing. We believe Zeta is being recognized as a platform that the largest and most complex enterprises can rely on to grow their businesses profitably.  Now, let me hand the call back to the operator for me and David to take your questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question and answer session. [Operator Instructions] Our first question comes from the line of DJ Hynes with Canaccord. Please proceed with your question. 
DJ Hynes: Hey, guys, congratulations on the nice quarter. Chris maybe one for you. I want to ask about the scales customer ARPU. I mean, it seems like a slightly larger Q4 to Q1 seasonal dip than we've seen in the past. I'm just curious kind of how that may inform your views on marketing budgets this year. Any implications with respect to thinking about net revenue retention or other metrics? 
Chris Greiner: Thanks, DJ. I wouldn't read that into it. I think in this case, it was more driven by the high number of growth that we saw in that 100k to 1 million category. So that grew 16% year-over-year in count that was kind of the second straight quarter that it did that. So it's more being influenced by those pilots starting to kind of scale. If you look even within the bands of that 100k to 1 million, most of that growth came in that 100k to 300k cohort. But the super scaled group and cohort as you saw increased seven quarter-over-quarter that was obviously a great rebound from last quarter up 18% On ARPU basis, the revenue up 31. So we're really happy with the scale of customer count. From a net revenue retention, obviously, last year was 112 year for that was 113. You can kind of back into even though it's an annual metric per se that you can back into that the first quarter was even ahead of those rates. 
David Steinberg: And let me just say, DJ, it's we're not seeing right now any slowdown in the marketing echo system on our end. In fact, what we're seeing is as there's more volatility, there's less friction in new companies moving to us. And we're seeing many of our existing customers moving more budget. Now, you might not have seen all of that evidence in the first quarter. But we're definitely seeing that coming online in our pipeline and as we're growing. 
DJ Hynes: Yes. Makes sense. Good to hear. Maybe as a follow up, one of the questions I occasionally get from investors looking at Zeta for the first time, is why you guys need 130 sales reps to add roughly 50 net new scale customers per year? And I don't mean that as a slight, I mean, you guys are obviously growing nicely and efficiently. But maybe you could just talk about kind of what's unique in the go to market model that requires this. 
David Steinberg: I think, first of all, it's important to note that a lot of those people have been added over the last 12 months. So we have been ramping up our salespeople, and one of the metrics we look at is sales productivity per person on how long they've been with us, Chris, you should probably touch on how much more productive people who have been with us for a while versus the percentage of people who have just joined us? 
Chris Greiner: Yes I'll get to that. [indiscernible]. I'll definitely highlight that. I think DJ, just important to understand that it's a fair question. About half of the sales teams are hunters. And we still see a massive new customer TAM in front of us. We have called little over 400 total skilled customers, there's 10,000, large U.S. enterprises. So about half the sales team's devoted towards hunting, the other half towards farming. Same time, we have 400 skilled customers that average revenue per annualized is a little over 4 million, they should all be many times bigger than that. So we've focused the team's very much on kind of two different areas of the market. In terms of productivity, as David mentioned one of the areas that was really stood out to us this quarter is just how well, those 12 month and beyond tenured reps are performing. These are the reps that went through the first sets of training that when we divide the salesforce into hunters and farmers there, that class that kind of went through that initial wave. I think there's an interesting metric, obviously, our sales and marketing ratio is better year-over-year. There's an interesting metric, I think Barclays puts out around the magic number, which is the change in revenue growth year-over-year, divided by your sales and marketing expense. And if you were to plot that for called the 20 or odd core software companies that are public ours at about 1.3 going off of last year's results is in like the top five. So really happy with the efficiency. But we don't feel like we need to kind of wildly add reps. I mean, in fact, we're, if anything, we feel like we don't need to add as many because of the productivity that we're seeing right now.
DJ Hynes: Yes, very helpful, very detailed answers. Thank you, guys. 
David Steinberg: Thank you, DJ. 
Operator: Our next question comes from the line of Ryan MacDonald with Needham. Please proceed with your question. 
Ryan MacDonald: Thanks for taking my questions. And congrats on a great quarter. David I think there's been a lot of focus from the team about sort of continuing to solve for the Zeta who problem in really trying to sort of continue to drive the brand awareness out there. It sounds like the top of the funnel pipeline metrics are looking pretty attractive. So can you just talk about the progress you're making there? And how that sort of starting to impact things on the win rate side especially in RFPs? 
David Steinberg: Well, thank you, Ryan. And it's funny because I just wrapped up four days at the Milken global conference where I was personally asked to host and moderate the generative AI panel for the entire Milken global conference and host the Chief Marketing Officer panel with the CMOs, Visa, Pepsi, LogicTech and other very, very large organizations. We also hosted a Zeta VIP dinner, and I was invited to so many events I couldn't attend. I did on my Monday morning call, say to the team, no, I'm sorry, my Wednesday management call we might have actually finally solved the Zeta who problem. It was really amazing to me to see how known we were and how many organizations and people were starting to recognize that. I think what we're also seeing is if last quarter, we said we were at record RFPs and record pipelines, quite frankly, we are now well above even that. We are seeing pipelines that we have never seen. We are closing deals with multinational global enterprises that years ago would have probably not displaced as we said, the legacy marketing clouds just because of the brand, most of the legacy marketing clouds In fact, all of them in the case of the transaction we announced today, were dismissed in the first round which we're not just seeing us move up the food chain. We're seeing many of our biggest competitors as they focus on their core businesses. So one of the things I like to talk about. So if you look at the core marketing clouds, or the sort of the legacy marketing clouds, years ago, they bought the assets to build those inside of tech conglomerates. Every one of those conglomerates has now bought something that dwarfs the size of those clouds, the marketing cloud. so it's not even their side hustle anymore. It's now the side hustle to their side hustle And as they think about investment dollars, in a world where they are all cutting jobs, they're all cutting costs, I promise you, they are cutting them the fastest from the side hustle to their side hustle. So we are winning, in that we see Zeta, getting through the “Zeta who” problem, while simultaneously what is traditionally big art been our biggest competitors, they're starting to fall to the wayside, in their marketing clouds, I'm not going to suggest their core businesses are not doing incredibly well and aren't game changing. But we're definitely seeing a big separation between us and them in what we do. 
Ryan MacDonald: That's really great to hear. Maybe just follow up for Chris, I wanted to touch on sort of mix of direct platform revenue. And I apologize if I missed it in your commentary, but you talk about what's driving that mix down and but you're obviously still sort of outperforming on the top line. So I guess the question really is how important is sort of reaching that 80% direct platform mix to Zeta 2025 still today. 
Chris Greiner: It's so important. What we saw this quarter was really a great set of new customer additions and even obviously within that super skilled group as well. It's interesting, when you look at how that mix can be influenced within a quarter, within year within a month. In our case, we added the combination of several new enterprises, but also began to onboard to Zetas platform agencies. And that is has been a big opportunity of ours in our pipeline that's now starting to come through. It's not uncommon for those agencies, in particular, to start off channel or off our direct mix more likely with social. But what's interesting that we put in the script with our existing super skilled customer, the agency that we've had now for a couple of years, we've seen their mix evolved from 7% direct revenue as a percentage of the total to 76% direct revenue as a percentage of their total just over a two year period. So we feel like we've got a really good playbook as we build great omni-channel strategies with them. It's going to continue to mean they do some social, they do some other channel work. But over time, we feel confident we can get them to use Zeta's owned and operated channels, which then drives obviously a higher direct mix and a better gross margin profile. 
David Steinberg: And by the way, we also saw our cost of goods sold come down nicely in our direct which we were able to more than offset anything that would have been on the other side Ryan. So we're really feeling good about this business right now. But like in any business, you're going to have some metrics that vacillate up and down. The biggest problem we have is we on boarded too many new very large clients, which artificially brought the off platform up slightly for one quarter. That's a trade we're definitely willing to make.
Ryan MacDonald: [indiscernible] the top line metrics keep moving up. So it's great to see you congrats again. 
David Steinberg: Thanks so much. 
Operator: Our next question comes from the line of Jason Kreyer with Craig-Hallum. Please proceed with your question. 
Unidentified Analyst: Hey, this is Cal on here for Jason. Couple from me just first to start, can you kind of talk about the pipeline of opportunities and how that's being influenced by your channel relationships? Just trying to understand if some of those relationships are starting to bear fruit in terms of revenue generation or if most of the leads from the channel are still in the pilot phase? 
David Steinberg: So great Question [indiscernible] we are seeing record velocity into our pipeline directly and through our biggest channel partner. I don't think I mean, we obviously it's Snowflake, we do a ton with them. They've been an incredible partner. They are bringing us major customer opportunities and we're lighting up major customer opportunities on their platform coming out of our people. So you hate to say you're winning across the board, but quite frankly, we're really seeing the channel partnerships, primarily with sale, primarily with Snowflake, working very, very well. But simultaneously, we are across the board winning. 
Unidentified Analyst: Perfect. Thanks. And then just last one for me. you guys really been highlighting AI more lately. And I'm just curious if you can kind of give your vision for utilizing AI within the ZMP and how that can either help you optimize performance, lower cost of operation just kind of where do you see that going?
David Steinberg: So we've been talking about Artificial Intelligence, since it wasn't even artificial intelligence. We started talking about deep learning, machine learning before these large language models really started coming into play. One of the things I think has not been talked about. And as I think I said, when I hosted and moderated the generative AI panel at the Milken conference this week, one of the things that really gets lost is AI is only as good as the data that's put into it. And our ability to incorporate large language models today is quite frankly unparalleled. But in addition to that, we're able to put small language models into place in the form of a CDP that exists between us and our very large enterprise customers. So that CDP where you merge their data and our first party data into an unparalleled data echo system then can learn not just from the large language models that exists outside of Zeta but the small language private models that exist inside of it. The ability to then map that to the greater than 240 million Americans who have opted in to be in our data cloud is really unparalleled. How does that translate into our business performance, we can generally lower a customer's cost to create a customer by greater than 50% quickly. We're able to lower that by up to 90 plus percent in the years to come per customer creation, as the models get smarter and smarter. That is all the incorporation of Artificial Intelligence as it relates to ingesting trillions of open signals, mapping that into hundreds of millions of private signals, using that to build intent based scores on what do individuals intend to do next. And we can consistently remove the customers who are not in market for our enterprise clients products, or won't be approved for them. All of that comes out before they spend money on marketing. So quite frankly, I think one of the reasons we continue to win and one of the reasons you saw our scaled customer count go up by greater than 100% more than we needed to hit our Zeta 2025 model is how effective our artificial intelligence and our data are at creating what people intend to do next. 
Unidentified Analyst: Perfect. Thank you guys so much. 
Operator: Our next question comes from the line of Elizabeth Porter with Morgan Stanley. Please proceed with your question. 
Elizabeth Porter: Great, yes. I did another quick follow up along kind of the AI side, but more particularly for the agents and the data opportunity engine. It's really interesting technology. So can you just give us a bit more detail on the capabilities kind of what is it augmenting versus replacing? And then how do you see the evolution of these capabilities playing into the top line for the financial model? Is it something that you think could be monetized via a separate SKU? Or is it monetized via taking more shares? Thank you. 
David Steinberg: First of all, thank you, Elizabeth. I wasn't sure anybody even bothered to read that press release. But I think that first of all, ZOE which is sort of the modernization of customer help, customer support and the ability to allow a CMO or a marketer to ask real world questions and get incredibly accurate answers is going to be a major driver to our business in multiple ways. First of all to describe the product, it is all new, and it is game changing. It is effectively a new AI layer that sits on top of the Zeta marketing platform that's ingesting everything that that enterprise customer is doing inside of their CDP and outside in the global world, because it's ingesting, as I said, large language models can be imported and small language models can be important. It then allows the marketer to say something to ZOE like, what are the most valuable cohorts in my database? Who can I be targeting from an audience perspective for this new product that I'm rolling out. As they look at the integration, and what we're starting to see is chief marketing officers are taking a bigger and bigger ownership of product development inside their enterprises than I've ever seen in my life. Why is that? Because CMOs hate being told, here's a new product go sell it. They're now being asked to participate in the building of new products. ZOE can help them with that. If I build this new product, what percent of my existing customers would like to buy it? And it spits out real world simplistic answers. How does this drive the model? It moves more and more of their marketing onto our platform which drives a greater and greater business relationship for us and them. It also allows us to grow our headcount slower. Because we won't need as many people to be helping with analytics and other services to the enterprise. It can now be handled with effectively humans or bots or intelligence living inside the ZMP that can answer the questions that they would otherwise need to be asking. 
Elizabeth Porter: Great. Thank you so much. 
Operator: Our next question comes from the line of Richard Baldry with ROTH. Please proceed with your question. 
Richard Baldry: Thanks. I'm sort of curious if you think that the generative AI will target as most likely or superscalar customers first. And then sort of a side note to that; how much do you think that it could actually help you with cross sale? So when it's giving recommendations or auto piloting will it be able to demonstrate other channels that may not have been adopted whose ROI could be equal or higher, sort of showing them opportunities that they may not be able to access yet? Thanks. 
David Steinberg: Well, Rich, as usual, I think you nailed both, right. So yes, there is no question that the larger the enterprise, the more the efficiency matters to their bottom line, the more they're going to be willing to adopt generative AI faster. What we're hearing from most companies is they love the concept of the closed generative AI solution in what we call the small model versus the open model. Now, I think we all saw that open AI got hacked for the first time. I'm under the impression another algorithm was just annoyed by how much attention ChatGPT was getting. So they hacked it to get a little attention for themselves. But the truth of the matter is, we still don't understand how the importation of data into ChatGPT is going to be benefiting the collective including large enterprises' competitors. Inside of the generative AI, that Zeta has ZOE were able to keep that as a closed model. It is exclusive to them. It can import the large language information, but it can also keep the small language model tight to them. So we're definitely seeing that faster. Biggest benefit to us, bar none is adding additional channels and adding additional products to these enterprises. Because what we're seeing is as they're using the AI, the AI is able to move them into the most efficient channels. As Chris said, one of the best examples is we have one client who a number of years ago started out 7% of their revenue was on platform. Last quarter. I believe correct me if I'm wrong here, Chris greater than 90% of their revenue was on platform close enough. Bottom line that comes from the AI because it keeps showing them what a better job they can do when on platform fully integrated using our AI and our data as native to the ZMP you're able to then move them into new products that are more profitable to us and more efficient to them. 
Richard Baldry: Last for me. it'd be you are seeing layoffs from your a lot of would be competitive, we'll call it, presumably there is they let go of their worst people first, but it does leave good people unsettled and unsettled internally. So in an upside growing beaten race scenario, why not pull back a little bit on the profitability side really go after some of the better talent that I would think is more easy to go after these days? Thanks. 
David Steinberg: Well, you sound like me in my last HR meeting and this is not, I've got to be very, very careful here, right. Because but you would assume an organization would not lay off its top 10% of people in that scenario which is not to say that people laid off we're not incredible individuals who could do a great job organizationally. We are absolutely positively focused on bringing the world's best human capital into Zeta. Generally today, it is coming from the people who are still at these large organizations who are unsettled and nervous. But even more than that Rich, we are recruiting more people, when we go into an RFP again 17 different companies, and we win, the salespeople, the project managers, the high end operating people from those other companies, call us, because people want to work for the people who are winning in today's environment. And we are seeing an incredible opportunity to onboard amazing people. I don't think we're going to pull back on profitability for a whole host of reasons. But as I think we point out, we're raising guidance for Q2, we are raising guidance for the year. I think we have been thoughtful in those numbers in making sure we have the dry powder to add incredible people where we see the opportunity to do it. And we feel very confident that in today's world we can do both. 
Richard Baldry: Thanks, congrats on a great start to the year.
David Steinberg: Thanks, Rich. 
Operator: Our next question comes from the line Zach Cummins with B. Riley. Please proceed with your question. 
Zach Cummins: Yes. Hi, good afternoon. Thanks for taking my questions. David, can you give us an update on the CTV channel, I know, that's one that's been gaining a lot of traction in the past couple of quarters. So any sort of incremental update there would be appreciated? 
David Steinberg: Yes. So we continue to see CTV as one of our fastest growing channels, especially inside of our scaled customers. What we're really seeing is we're seeing by way of example, the highest percentage of our customers ever in the first quarter use the CTV channel. We continue to see what we call connected CTV, where we're using our data cloud and our AI to best target where to run the marketing as a massive differentiator inside of what we're doing there. 
Zach Cummins: Got it. And final question for me is just really around incremental details on the pipeline. I mean, it's great to hear that RFP levels and the overall pipeline are still at record levels. I mean, can you give us a sense of where these are being sourced from? Is it typically companies that are using point solutions, or they're not renewing their deals with some of the legacy marketing clouds? Any sort of incremental detail there would be great. 
David Steinberg: Yes. I mean, listen, companies are tired of using point solutions. They're expensive. They don't talk. And the expense that most people don't talk about is you have to bring in one of the major professional services companies on multimillion dollar integrations to get them even to speak to each other. Whereas if you use the ZMP, everything exists in one marketplace. The other thing we're seeing is it appears as if we've entered into a major replacement cycle in the marketing cloud ecosystem where a lot of companies started three, four or five years ago with the legacy marketing clouds and it's just not giving them what they need anymore. So they're going out to RFP at a greater rate and quite frankly, our full solution tends to be what they're looking for. Chris, do you want to add to that? 
Chris Greiner: I think David the only thing I'd add Zack is, you know, if you look from an industry perspective, where they're coming from, it's the ones that are probably almost right down on a sheet of paper and agree are under the most financial and economic turmoil choosing Zeta because it goes back to David's point earlier on the call of just really needing to be more efficient, but to not have to do that at the sacrifice of growth. And I think that's where Zeta comes in as a really helpful partner. 
Zach Cummins: Got it. Well, thanks for answering my questions. And best of luck with the remainder of  the quarter. 
David Steinberg: Thank you very much Zack.
Operator: Our next question comes from the line of Arjun Bhatia with William Blair. Please proceed with your question. 
Arjun Bhatia: Hey, thanks, guys, for taking the questions here. David maybe just continue on the AI theme like obviously, we're living in kind of a rapidly changing paradigm with the rise of generative AI. I'm curious how you think it might change the marketers job and how it might change the CMOS role? And what does that mean for how you sell Zeta, how you deploys Zeta and does that mean, there's any adjustments that you need to make? Obviously, there's a lot of great product announcements that you've made already. But what else do you think might need to change and in your business as we kind of work through this? 
David Steinberg: Yes. I think Arjun that's a great question. I mean, I want to reiterate, I feel like we are where the puck is going, not going to where the puck is going, meaning we as you know, rearchitected the Zeta marketing platform starting about five years ago into what it is today, which has Artificial Intelligence and data as native to the application layer. So to really put some meat on the bones of what that means. If you're running a legacy marketing cloud, and they claim to have Artificial Intelligence, your marketing cloud has to talk to their AI algorithm, which then has to do multiple data dips to pull the proper data in, based on the instructions from that marketing platform to the algorithm and think about how long that takes to make a decision. When you put everything is native to the application layer, it can make real world decisions all at once; really a differentiator. Where I think it's going to continue to change the marketplace is we're going to continue to see, first and foremost, a greater focus on return on investment for marketing than ever before. And once again, in addition to running the generative AI panel at Milken, I also moderated the chief marketing officer panel. And as you can imagine, I made a joke when I came on to the panel, I said, Alright, we're going to now go to a topic that nobody is talking about, completely under the radar getting zero attention, Artificial Intelligence, right. And of course, everybody laughed. But everybody is thinking about how to use this, but not just to use it. I mean, ChatGPT is great. My kids love it. I think it's interesting. But how does it benefit your business and what we're doing is we're using Artificial Intelligence, to first and foremost help enterprises lower their cost to create, maintain, and monetize customers by removing customers from the marketing funnel, that are not going to buy your products or not qualified for them, or understanding who in your platform is going to churn really early enough in the process to save them. That's one. The other thing we're doing is the rolling out of ZOE from an external perspective. By the way, it's always been our internal AI algorithm. The rolling out of ZOE as a business intelligence tool to help CMOs and marketers better understand their customers, their intelligence, and how to manage their marketing with a simple real world solution that not only learns from large language models, it learns from small language models that are effectively owned by you because it's your data. And it also learns what you're interested in. So once you ask it a question, it keeps an eye on everything to do with that question forever. So when you come back and ask it that question again, it's smarter than next time. So with consistently getting smarter which allows the enterprise to do more with less, less analysts, less data, [indiscernible] which are very expensive, less cost to create a customer and lower cost to maintain your existing customers, all driven from generative AI. 
Arjun Bhatia: That's super helpful and very insightful. I appreciate that. Chris, maybe one for you, obviously we saw some good trends this quarter in the scaled and super scale customers and you had that big deal in retail. I'm curious, just as we look at those metrics, are those new customers coming internally through expansions? Are you starting to see new customer lands in those in those two buckets as well? How should we think about some of those trends playing into the metrics?
Chris Greiner: Out of the eight new scaled customers that we added quarter-to-quarter six were new to Zeta and then to became scaled. And then even within that existing scaled customers and to the point of moving them from that 100k 2 million cohort to the super scaled a million plus, one of the metrics we talked about in the earnings call that internally we got really excited about was multichannel adoption. So the number of scaled customers now using three or more channels that grew 41% year-over-year. So that was good for us to see that we continue to make some really good traction in building these omni-channel experiences. But we were very happy with the new customer additions we had, as well as what grew from the base perspective.
David Steinberg: And Arjun we just continue to see not just record RFPs by number of enterprises, we're seeing deal sizes that are by far the biggest we've ever done.
Arjun Bhatia:  Very interesting. All right, appreciate the color guys and great job on the quarter here. 
Operator: There are no further questions in the queue. I'd like to hand the call back over to David  Steinberg for closing remarks. 
David Steinberg: I continue to be incredibly proud of our Zeta people. We talk a lot about our technology. We talk a lot about our data. We talk a lot about winning in the marketplace. But ultimately, it is our people that drive these results. And we're feeling as good as we possibly can about our business. We feel like even in a volatile environment, we are winning. In many ways, the volatility of the current environment, is helping us because we're seeing less friction from enterprises willing to take a chance on a new vendor. And as we drive our business to our 2025 plan we're really, really excited about where we're going to go for 2030 and after. And we feel like we are incredibly well-positioned and quite frankly, I have never felt as good about where we are as a business as I do sitting here today. So I will finish as I always do by thanking all of our employees, thanking all of our clients, all of our vendors, and all of our shareholders for your belief and our vision and our goal is to continue to win in the marketplace and win together. Thank you very much for taking the time today. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.